Operator: Good afternoon, everyone, and thank you for participating in today's conference call to discuss StarTek's financial results for the quarter ended December 31, 2019. Joining us today are StarTek's Chairman and CEO, Aparup Sengupta; the company's CFO, Ramesh Kamath and the company's Global COO, Rajiv Ahuja. Following their remarks, we'll open the call for your questions. Before we continue, we would like to remind all participants that the discussion today may contain certain statements, which are forward-looking in nature pursuant to the Safe Harbor provisions of the federal securities laws. These statements are based on information currently available to us and are subject to various risks and uncertainties that could cause actual results to differ materially. StarTek advises all those listening to this call to review the latest 10-Q and 10-K posted on its website for a summary of these risks and uncertainties. StarTek does not undertake the responsibility to update any forward-looking statements. Further the discussion today may include some non-GAAP measures. In accordance with Regulation G, the company has reconciled these amounts back to the closest GAAP-based measurement. The reconciliations can be found in the earnings release on the Investor Relations section of their website. I would like to remind everyone that a webcast replay of today's call will be available via the Investors section of the company's website at www.startek.com. Now I'd like to turn the call over to StarTek's Chairman and CEO, Aparup Sengupta. Sir, please proceed.
Aparup Sengupta: Thank you very much Gigi [ph] and good afternoon, everyone, and thank you all for joining. Our exceptional fourth quarter results reflect the strength of our now fully integrated company. Since our combination with ages we have driven consistent improvement store business quarter after quarter, especially in the second half of 2019 as we made key additions to a leadership team. 2019 was our first full year as a consolidated company and we are proud of the work that we have done to drive synergies and become an industry leader in the global customer experience management space. During the fourth quarter we focused on better leveraging our global presence through improved operating efficiencies and implementing new quality control procedures across all of our geographies. Since things Rajiv Ahuja joined our team as Global COO last summer, we have been optimizing our service capabilities throughout every region we serve. In fact during the quarter, we established a centralized virtual command center that monitors our customer service activity around the world 24/7. This capability ensure that all of our customers receive the same high quality experience no matter of time day, night on location. Rajiv's leadership already in driving material improvements in our business and you'll hear from him later on the call for more details on what he and his team have been up to. To further optimize our customer experience, we have been working to expand our service offerings to include higher-margin digital solutions using insights from analytics and artificial intelligence, our digital capabilities was center on predicting and managing customer experience. We want to ensure that we are at the forefront of driving innovation to better serve our clients and this digital initiatives with help us deliver on that. Regarding client diversification, we continue to execute on strategy laid out over the past several quarters. We are highly focused on adding new clients that can accelerate our growth both by up-selling services and geographies and also organically by nature of our clients own growth. For new clients we continue to target exciting companies in high-growth verticals like technology, next GEN retail, financial services, travel, education and healthcare. In fact healthcare presents a significant near-term opportunity for us as we're seeing strong levels of interest from prospect across the globe. For perspective on our execution on non-telco verticals accounted for 62% of the revenue in calendar 2019 up significantly from 51% in 2018. As a reminder while vertical concentration is useful data point, it's important to note that we are not opposed to targeting more established verticals like telco and cable media as long as client is positioned for high-growth such as the recently signed UK Telco provider we highlighted on our last quarterly update. Today most of our US telco verticals remain stable, however we do continue to see softness with our telco business in India. We have taken steps to mitigate the impact including our decision not to renew an engagement with one of our low-margin Indian telco client during Q4. We will continue looking to improve our margins in the region as opposed to chasing unprofitable revenue. As we've stated in the past, we want to serve as a strategic partner to our clients and help them achieve their customer goals rather than merely serve as a vendor with traditional call center services. StarTek is at its best when partnered with the right companies, companies that are growing and seeking a truly differentiated experience for the customers. This mindset across the StarTek organization is driving the improvements we have seen in our operations, technology and ultimately our growth and profitability. Before commenting further, I would now like to turn our call over to our CFO, Ramesh Kamath to take you through the StarTek's financial results for the quarter. Ramesh?
Ramesh Kamath: Thank you, Aparup. Jumping right into the results, net revenue for the quarter increased 8% to $171.6 million as compared to $158.6 million in the fourth quarter of 2019. With the increased growth driven by growth in e-commerce, healthcare and holiday volumes. For those less familiar with our industry not that the fourth quarter is historically the strongest quarter of the year due to seasonality. So it would not be appropriate to expect higher levels of revenue sequentially in quarter one 2020. Gross profit for the quarter increased 10% to $27.6 million as compared to $25.1 million in the quarter ended December 2018 with gross margin up 30 basis points to 16.1% as compared to 15.8% in the quarter year ago quarter. Our margins continue to benefit from a focus on stronger employee insight utilization across our global footprint. Margins also continue to improve as a result of positioning StarTek as a premium provider, which enables us to command stronger pricing. Selling, general and administrative SG&A expenses decreased to $19.4 million as compared to $21.9 million in the year ago quarter. As a percentage of revenue, SG&A improved 250 basis points to 11.3% as compared to 13.8% in the year ago quarter, with the improvement driven by lower spend on travel, communication, power, legal and other costs. Net loss attributable to StarTek shareholders for the quarter was $5.3 million on $0.14 per share as compared to a net loss of $9.7 million or $0.26 per share in the year ago quarter. Net loss in the fourth quarter of 2019 includes a $7.1 million goodwill impairment largely pertaining to Argentina and South Africa. Although net loss improved this quarter, we would have been GAAP positive had it not been for the goodwill impairment below the operating line. To reflect these non-operating impacts adjusted net income for the quarter of 20 -- fourth quarter of 2019 was $5.8 million or $0.15 a share as compared to an adjusted net loss of $6.9 million $0.19 a share in the fourth quarter of 2018. Adjusted EBITDA for the quarter increased 48% to $16.8 million compared to $11.4 million in the year ago quarter. As a percentage of revenue adjusted EBITDA increased by 260 basis point to 9.8% from as compared to 7.2%. As Aparup mentioned earlier, our improvements here reflect the culmination of executing our various initiatives over the last year including conversion of our sales pipeline, group synergies and operational efficiency. From a balance sheet perspective at December 31, our cash and restricted cash increased to $32.6 million as compared to $24.6 million as on December 31, 2018. Our net debt at the end of 2019 was reduced to $174.8 million as compared to $185.7 million at the end of 2018, which resulted in a reduction of net debt to $142.2 million as compared to $161.1 million. Note that our December 2019 net debt excludes $9.8 million of factor customer receivables on a nonrecourse basis. This concludes my prepared remarks. I'll now turn the call over to Rajiv. Rajiv?
Rajiv Ahuja: Thank you Ramesh. Joining StarTek in the middle of 2019, one of my top priorities has been to take a long hard look at the processes and competencies that reside in the organization. Having developed deeper understanding of the two, I have gone about in part deconstructing portions of the organization and then have gone about reconstructing a team to put best practices in place. Through this process over the last two quarters we have created immense operational momentum and I'm extremely pleased with the improvements that we made so far. The nucleus of our business is centered around a client driven, geography led focus ensuring that regardless of which corner of the globe the call originates from, we strive to create a consistent and world class experience for our customers. One call at a time all adding up to over a billion moments of truth. As Aparup mentioned earlier we've established a centralized virtual global command center this quarter to keep track of our customer experience touch points all across our network. With this we can more fully align our operational standards and global best practices. Implementation of technology like this will position us well financing and further refining our global client management model in times to come. We have also added a lot of horsepower in sales, operations and other resource all focused on driving revenue as well as margin by creating new digital value-added products for our customers and I now feel very confident that we are set up for continued success in 2020 by building out what I refer to as our dream team, a team that is committed to defining the future. Following the fourth quarter we appointed a new Global Head of Sales, Rick Ferry and a new Chief Technology Officer, BS Reddy who each bring unique and relevant skill sets to our organization. Rick was a founding team member at Agus [ph] and has significant experience in maintaining strong customer relationships and driving sales growth. BS Reddy who joined us recently as the CTO has a very strong background in managing global IT networks having worked in the past for many world-class organizations. For the most part we have completed the buildout of our robust team focused on driving sales and creating value-added digital products. Very soon we would be in a position to announce the latest addition to our executive team a new Chief Information and Digital Officer. This expanded team will help us bolster our pipeline with high-growth companies and drive innovation to better serve our clients. At this point, I would like to buy the ball back to Aparup for his closing remarks. Aparup?
Aparup Sengupta: Thank you very much Rajiv. I appreciate that. As I mentioned earlier, our goal is to position StarTek as one of the premier global customer experience providers for high-growth companies and we have never had a stronger foundation to get us here. The majority of our team is in place, our sales pipeline is filled with high-growth prospects, our global footprint is optimized and our technology infrastructure has been refined and conditioned to create innovative digital solutions to further differentiate StarTek as a value-added partner. We are proud of the momentum we have built for 2020, but we all know there is still work to be done to achieve our ambitious goals of becoming a billion-dollar corporation down the road with strong double-digit adjusted EBITDA margins. Before opening up the call for Q&A I would want to express my deepest condolences for all the families affected by tragic COVID 19 outbreak. We are monitoring the situation closely and while it certainly remains a global concern, the outbreak had virtually no effect on our operations to date. We plan to provide updates accordingly as we learn more. That aside we will now open the call for questions.
Operator: [Operator instructions] Our first question comes from the line of Mark Argento from Lake Street. Your line is now open.
Unidentified Corporate Participant: Hey guys, this is John on for Mark, thanks for taking my question. First just surrounding the Coronavirus I guess any more color you can provide there I know you said no impact in your organization but any line of sights with potential clients or verticals that could be more impacted than other and out of that, within the quarter, you touched on some of the vertical diversification. Could you peel back the onion a little bit more there on where you're seeing the most strength. And then third you talk about becoming a full technology strategy partner, is it because maybe go through an example of what that looks like outside of just the call center relationship with one of your clients, that would be helpful. Thank you, guys.
Aparup Sengupta: Sure. Thank you very much John and I'll just give you the answer to your questions. First of all on the Coronavirus I can only tell you that I don't know what I don't know because the whole world is trying to figure out what's going on, but I can just lay some of our experience of managing our 24/7 operations. We understand that many times disasters happen and there are breakages, there are outages. We have handled so many storms that we have handled in our life being in Philippines and so many other places we've seen all of that. What we've learned and we are going to constantly monitoring as to what needs to be done at this point in time is use patience and signs. By that I mean that we have to what we call is deploy a containment strategy and I'll ask Rajiv to share more on that but the fundamental pieces of that is we have kind of put an airport like scanning and monitoring system in most of our centers as we speak and it has been deployed in the Asian side of course, but it is getting deployed globally by putting infrared scanners and ensuring that all the employees are communicative too. Rajiv would you like to quickly give some highlights off some of execution that we have done on that and on the balance question I will answer a few of those.
Rajiv Ahuja: Sure thing Aparup. So the first step that we took was obviously imposing a global travel ban that was part of our containment strategy. The next thing we've done it across most of our sites, we've deployed thermal scanners as well as digital thermometers which can take temperatures for -- temperature readings for anybody entering the site. This is not restricted only to employees but is also restricted to visitors as well as vendors. We've also bought in for a split location policy which means shifts start coming in and the resource source unit shifts are coming in split shifts so as to try and contain any potential outbreak if at all there is some that is detected. Whenever we are finding the readings to be beyond the permissible limits as laid out by the WHO guidelines, the individual are being directed to the nearest hospitals which have the adequate testing facilities, they are being -- once they have the testing which typically takes about 72 hours for the reports to come back if the individual is found to be beyond the permissible limits that is a quinine that is immediately put into place. We've limited large gatherings. We stopped meetings where a large number of people getting together. We're encouraging the use of technology. So a number of initiatives that have been put in most of them in line with the WHO guidelines that have been issued and happy to state that at this point while it seems to be spreading at a very rapid pace none of 44,000 to 45,000 employees that we have spread across 13 different countries not a single case reported so far. Aparup back to you.
Aparup Sengupta: Sure. And on the digital transmission that we're working on is that many people talk of digital and AI but we want to work on something that is substantial and is meaningful and has a value population for our customers and that's very critical and we always I strongly believe that you have to build an organization which is customer inside than organization outside. So as a person to that we're doing is we believe that we are in the business of managing moments of truth, so which is customer experience and adjusted space around that is go deeper into those conversational nuggets and find out what's going on in the enterprise and get a sentiment of the organization that we're for both in terms of how many are happy, how many are neutral, how many are unhappy and do some more mining around that. And in terms of becoming a balance sheet partner, I'll give you an example, you wanted me to site an example. Let's say you are a organization and you have multiple service lines and let's say you provide a broadband service, you also have a consumer retail service, you have let's say kind of bandwidth service, you have digital streaming service, many of these organizations have they’ve built this service offering incentive taken them to the marketplace. They have isolated silos. So for instance if I am a subscriber for all these three services and when I call from one service, the company does not know that I am also a buyer and I am a prestigious customer who has brought the other service. So that unification which is required to give a single view of a customer and the share of wallet that customer has in terms of the brand is at times surprisingly missing and those are some of the areas which I call as adjacencies around the moments of truth that unfold during a conversation that we're working on and our technology team is going with other propositions with some of those engineering solutions that can be quickly solved instead of going through a grand design approach in making this happen. And in addition to that we are our Chief Digital Officer as he comes in and we're been in conversation with some of our internal team that is working on creating analytics around customer conversation and I find out insights about what is going on within the brand, not everything is to do with the agent and the conversation, it has to do with some internal insight about the brands. Pricing policies are brand's billing systems or other brand's technology issues, all those thing are getting plated and we will be able to create dashboards for our companies and for our clients around those lines. So those are some of the vision that we have on a digital site. So that's the long answer to the series of questions that you asked John.
Unidentified Corporate Participant: Go ahead.
Rajiv Ahuja: John just to further clarify what Aparup was just saying, our digital strategy rather than adopt a very short approach, we basically identify and working closely with five pillars which are Omni channel support, social media, speech analytics, analytics and RPA. So these are the five pillars that our current digital strategy is based off and to your last question, which is what impact are we seeing in terms of volume, typically the industries that I think would get hit the most given where we are would probably be travel, hospitality, airlines etcetera. Fortunately, we do not have too much of an exposure to these industries. In fact some of the other industries that we are dealing with have in turn seen a slight pickup because as people stay at home we've seen there is a tendency to shop more online. So volume probably will start picking up for clients that are dealing in the online or retail space. So as of now I'm not seeing any kind of material volume softness that we need to be worried about.
Unidentified Corporate Participant: Awesome, very helpful guys, thanks for taking the time and congrats on the quarter.
Operator: Thank you. Our next question comes from the line of Zach Cummins from B. Riley FBR. Your line is now open.
Zach Cummins: Yeah thanks for taking my questions and congrats on a strong quarter here. In terms of the new executive appointments for head of sales and chief technology officer I mean is there any material changes in strategy from what you're doing throughout 2019 or what's really the goal here to build upon the success you’ve seen through 2019 and into 2020 and beyond.
Aparup Sengupta: Yeah the head of sales that I've hired, our Global Head of Sales, Rick Ferry we wanted to get what I strongly believe to be the dream team is to get entrepreneurs and just on employees or senior executives. So Rick just to give a little bit of background has worked with for several years and was an entrepreneur in residence who build Agus and I can narrate that story of how Agus was built from a small company to a billion dollar organization. So Rick comes up with phenomenal experience and understanding of the North American market and he was also very close and he's an export in the healthcare system ecosystem all four peers and providers. So I think he will bring those verticals which is not in -- we are not infringed in those articles frankly speaking and he's going to bring those to the table. In terms of a chief technology officer and BS Reddy he's going to bring in optimization in a global network. As you know I mean we had what you call is in Agus part of the organization and a StarTek part of the organization. So what we are currently doing is we're trying to marry both of them and see where some of the synergies are and frankly speaking we're finding a lot of potential optimization that we can bring to bear. For example we buy Microsoft license both in India as well as in the US so is there a potential for us to really deconstruct as Rajiv said and reconstruct and find that now we are buying some X thousand more licenses and therefore we have a larger negotiating muscle. Secondly, on the years of technology we're reinstating that we might potentially do for some of our client in the consumer experience space I mean there is a need for building applications and IT applications team, that with existing. So that team got augmented. So those are some of the areas that we're working on largely to make a difference to our customers, the central team is how can we be very closer to our customer and make a difference to them because in this business it is important for you to be a partner and not just a vendor. So that has been our motto and the management team that we have kind of articulated within the enterprise and it has going down the value chain within the enterprise. And in terms of sales we clearly believe that there are opportunities for working what you call is multi-shore and lot of clients are looking for a flexibility of onshore and offshore and having the ability to have the fungibility of movement across cultures and continents and StarTek earlier was a company that was largely North America centric, Ages what rest of the world centric. So now with these two coming together, customers are liking the ability to really have a network where they can actually move a conversation or a call or a process what you call is anywhere, anytime. Just to give you an example I always used to give that I call it around the world in eight minutes and not 80 days, which means if somebody makes a call let's say which is US bound which gets originated and he is let's say answered by somebody within the enterprise within the US and then the part of the back office work basically goes to India and some of the feet on speed work probably happens somewhere in the near shore definition facility. So I mean that's pretty much what happens internally within the organization. So that is what we are bringing to the table and that is a story that we are telling our customers that you have the ability to now have an organization that is helping you across cultures and continents give you the best of both worlds, give you the ability to reconfigure your pricing and reduce your total cost of ownership on the one hand and also get an amazing experience at a faster rate by using the entire world at large.
Zach Cummins: That's helpful I appreciate that and Ramesh just a couple quick questions for you for gross margin really strong in the quarter but we actually saw gross margin decline a little bit on a sequential basis. So can you talk about the drivers of that and what are really your expectations for gross margin as we proceed forward from here?
Ramesh Kamath: There are three top drivers for gross margin, one is this quarter we had an exceptional pass through cost of $2.8. so it adds to the revenue and cost that's not recurring at quarter on quarter. So that's the first reason, the second reason on an urgent basis needing to ramp up both in this quarter and the quarter ahead we had to spend extra on our recruitment cost and sometimes pay a little bit more to our agents to join the impact of $0.5. The last part is as is typical event of the end for all the employee benefits that are available we need to have the valuation done for this because of the variety of changes that occurred this year on the assumptions on interest rates, volatility etcetera that extra cost of almost $1 million we booked in quarter four. If you netted all these off, then our gross margin was roughly close to the previous quarter, but having said that, as you can guess Zack, some of these items would continue in the quarters ahead. How it will lie in the future quarters we don't give a forward-looking statement but I'm sure you can do your constitutions.
Zach Cummins: Understand and then on the flipside of that for SG&A it was nice to see the savings on that line, can you talk about the drivers there for your SG&A savings in the quarter and then what's the approach to continue to optimize that as we move forward?
Ramesh Kamath: When the drivers of exactly what we have said in the press release and the script too it's spread across multiple items and not just one item and that is what pleases me quite a bit. So there is savings on the power and fuel, there is savings on rentals, travel, there is savings on even some employee costs. Going forward as Rajiv and Aparup mentioned I think we're going to need to invest a lot more on the sales team and I would not be disappointed if that adds to our cost but I know that Aparup and Rajiv and myself, we're focused on every other line item of cost to prevent it from going beyond control.
Zach Cummins: Understand.
Aparup Sengupta: I think it may be a good idea for me to also add and which I think Rajiv and I probably we don't share with you is that we have now got a global spend management leader and he comes with decades of experience in understanding the entire landscape of the vendor ecosystem. As you know in this company there is a lot of spend, there are lot of non-GAAP expense that also happens on a regular basis and just going into the depth of those and creating what you call is various forms of auctions and using a reverse auction, a Japanese auction those optimizations have started happening. And so those we strongly believe is going to bring our GA down and whatever we save on the GA we're going to deploy on it on the F which is sales and that's the way to go. I'm just which sneaks out of your organization and deploy that into the sales and that we continue the growth momentum that we envision in the future.
Zach Cummins: Understand. That's helpful congrats on Q4 and best of luck as we go through here in 2020.
Operator: Thank you our next question comes from the line of Omar Samaha [ph] your line is now open.
Unidentified Corporate Participant: Really what a wonderful quarter, strong quarter congratulations strong EBITDA, great job on the SG&A line, increased cash flow continuing to pay down the debt while still investing in the business. Really great well job done. I wanted to also thank you for finally reporting a non-GAAP earnings per share, it is really very helpful and I've only been asking for it for about five years now. So it's great to finally see it. Are you in a position to say anything about capacity utilization rate. I knows that's a metric the company is not been in a position to touch but I was wondering what you're at in that sense?
Rajiv Ahuja: This is Rajiv and I'll provide a little bit of color to it. Just to give you a sense Q3 versus Q4 so that gives you a fairly I am giving you a very recent picture be in the Americas went up by almost 9% in terms of capacity utilization and across the Philippines which is one of our growth geographies we saw a jump of close to about 10% in our capacity utilization. As we move along we already in fact announced late last week plans to shut down a center in the US which is in Grand Junction and some of that was driven by the fact that some of our clients wanted to move to alternate locations. So we already announced that and while of course it would not lead to capacity, increasing capacity utilization in the manner that we would ideally like, which is new revenue coming in and that is why the utilization is going up but by giving up that center next quarter I'm hoping we would be able to report further increase in our utilization across the US. So I'm just giving you a couple of data points
Operator: Thank you. At this time this does conclude our question-and-answer session. I'll now like to turn the call over to Mr. Sengupta. Please proceed.
Aparup Sengupta: Okay. Thank you, Gigi for your patient manner in conducting this meeting and really appreciate that for all your help and thank you all for joining this afternoon and for your continued support for StarTek, barring in travel restrictions due to the COVID 19 outbreak I'm looking forward to meeting you with many of our shareholders and covering analysts on my next trip to the US either this spring or whenever maybe the US opens and things become better. If I don't see you then, I look forward to speaking with you next time when we report our first quarter results. Thank you very much indeed and over to you operator.
Operator: Thank you, ladies and gentlemen. You may now disconnect.